Operator: Good day, and welcome to the Bunge Global S.A. Fourth Quarter 2025 Earnings Release and Conference Call. All participants will be in a listen-only mode. Should you need assistance, after today's presentation, there will be an opportunity to ask questions. To withdraw your question, please note this event is being recorded. I would now like to turn the conference over to Mark Haden. Please go ahead.
Mark Haden: Thank you for joining us this morning for our fourth quarter earnings call. Before we get started, I want to let you know that we have slides to accompany our discussion. These can be found at the Investor Center on our website at bunge.com under Events and Presentations. Reconciliations of our non-GAAP measures to the most directly comparable GAAP financial measure are posted on our website as well. I'd like to direct you to Slide two and remind you that today's presentation includes forward-looking statements that reflect Bunge's current view of respect to future events, financial performance, and industry conditions. These forward-looking statements are subject to various risks and uncertainties. LogMeNet provides additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in the press release. And we encourage you to review these factors. On the call this morning are Greg Heckman, Bunge Chief Executive Officer, and John Neppl, Chief Financial Officer. I'll now turn the call over to Greg.
Gregory A. Heckman: Thank you, Mark. And good morning, everyone. I want to start this morning by thanking the team and recognizing their extraordinary work around the world, both throughout 2025 and as we move into 2026. This past year was one of execution, investment, and integration, all in a market environment that demanded agility and discipline. In 2025, we reached a major milestone with the completion of our Viterra combination. The integration work our teams accomplished has been exceptional, and we remain highly engaged and excited about the progress we're continuing to make together. Building on a foundation of culture that we're already aligned on doing what is right for customers, this combination brings both organizations together within our proven end-to-end value chain operating model. Removing complexity and strengthening shared goals. As a result, we've increased connectivity and the flow of information across our combined organization. A crucial component to how we operate. As I've said before, it's our competitive advantage to have great people across the organization having the same information at the same time and working toward unified objectives. This alignment is already delivering results. We are unlocking synergies in origination, merchandising, processing, and distribution. Optimizing flows between origin and destination and capturing margin through improved logistics and better coordination. For example, previously Viterra's origination activities in most regions would have been managed purely through a merchandising lens. Leveraging a nimble platform built to operate on short lead times, today, people managing the same network of elevators are now making decisions with a more complete picture of our global platform. Taking an integrated view that balances speed with longer-term considerations. This not only allows us to keep our processing and refining plants running at high capacities but also results in more profitable outcomes for both farmers and consumers. We have capabilities today that we didn't have before. And we're just getting started. These types of benefits are durable and will compound over time. We will provide more details on synergy capture, capital allocation priorities, and our combined long-term outlook at our Investor Day on March 10. And while we've been integrating Viterra, we've also been working to advance our large greenfield projects navigating trade flows, policy uncertainty, and geopolitical volatility. All while staying focused on connecting farmers to end-market demand across food, feed, and fuel. Shifting to our operating performance, our fourth quarter reflected higher results in all our segments. Driven by strong execution and our expanded footprint and capabilities. John will go into more details in a moment. Externally, the environment remains complex. With limited forward visibility. Geopolitical tensions, evolving trade flows, and uncertainty around biofuel policy, and that's particularly in the U.S., continue to influence farmer and consumer behavior. Based on what we can see today in the current environment, and forward curves, expect full-year 2026 adjusted EPS in the range of $7.5 to $8. And with that, I'll turn it over to John for more details on our financials and outlook.
John W. Neppl: Thanks, Greg, and good morning, everyone. Let's turn to the earnings highlights on slide five. Our reported fourth quarter earnings per share was $0.49 compared to $4.36 in 2024. Our reported results included an unfavorable mark-to-market timing difference of $0.55 per share and an unfavorable impact of $0.95 primarily from notable items related to the settlement of our U.S. Defined benefit pension plan, Viterra transaction integration cost, and an impairment of a long-term investment. Prior year results included a net positive impact of $0.98 from notable items, primarily related to the gain on the sale of our Sugar and Bioenergy joint partially offset by Viterra transaction integration costs. Adjusted EPS was $1.99 in the fourth quarter, included approximately $50 million of net tax benefits. Versus $2.13 in the prior year. Adjusted segment earnings before interest and taxes or EBIT was $756 million in the quarter versus $546 million last year with all segments showing higher year-over-year results. In the Soybean Processing and Refining segment, slightly higher results were primarily driven by South America reflecting higher processing and refining results in Argentina and Brazil. In the destination value chain, lower processing results in Europe and origination in The Americas were partially offset by improved results in Asia. Results in North America were lower in both processing and refining. Higher process volumes were largely attributed to the company's expanded production capacity in Argentina. Higher merchandise volumes reflected the company's expanded soybean origination footprint. In the softseed processing and refining segment, higher results were primarily driven by better average processing margins and the addition of Viterra's softseed assets and capabilities. In North America, higher processing results were partially offset by lower results in refining. In Europe, results were higher in processing and biodiesel, but lower in refining. In Argentina, results were higher in processing and modestly higher in refining. The resulting Global South Seeds and Global Oils merchandising activities also increased reflecting strong execution. Higher softseed process volumes primarily reflected the company's increased production capacity in Argentina, Canada, and Europe. Higher merchandise volumes were driven by the company's expanded soft seeds origination footprint. For other oilseeds Processing and Refining segment, improved results reflected stronger specialty oils performance in Asia and North America. Along with higher global oils merchandising activity. Results in Europe were in line with the prior year. In the Grain Merchandising and Milling segment, higher results were primarily driven by global wheat and barley as well as wheat milling, partially offset by lower results in global corn and ocean freight. Higher volumes were primarily reflected in company's expanded grain handling footprint and capabilities along with large global green crops. Prior year results included corn milling, was divested in the second quarter of 2025. The increase in corporate expenses was primarily driven by the addition of Viterra. Higher other results primarily reflected our captive insurance program, partially offset by $10 million of prior year income, the Sugar and Bioenergy joint venture that was divested in 2024. Net interest expense of $176 million was up in the quarter compared to last year reflecting the addition of Viterra partially offset by lower average net interest rates. Let's turn to Slide six where you can see our adjusted EPS and EBIT trends over the past five years. The recent performance trends reflect less volatility due to a more balanced global supply and demand environment, particularly in grains, and the impact of ongoing trade and biofuel uncertainty that has created a very spot transactional market environment. Slide seven details our capital allocation. For the full year, we've generated just over $1.7 billion of adjusted funds from operations. After allocating $485 million to sustaining CapEx, includes maintenance, environmental health, and safety, we had approximately $1.25 billion of discretionary cash flow available. We paid $459 million in dividends and invested $1.2 billion in growth and productivity-related CapEx. We received approximately $1.2 billion of cash proceeds from the sale of a variety of assets in businesses. And we also repurchased 6.7 million Bunge shares for $551 million. This resulted in $173 million retained cash flow. Moving to Slide eight. Year-end net debt excluding readily marketable inventories or RMI was approximately $700 million. The recent change versus history reflects the impact of the acquisition debt assumed and issued related to Viterra. Our adjusted leverage ratio, which reflects our adjusted net debt to adjusted was 1.9 times at the end of the fourth quarter. Slide nine highlights our liquidity position, which remains strong. At year-end, we had committed credit facilities of approximately $9.7 billion of which approximately $9 billion was unused and available. Providing ample liquidity to manage the ongoing capital needs of our larger combined company. Please turn to Slide 10. For the trailing twelve months, adjusted ROIC was 8.1% and ROIC was 6.9%. Adjusting for construction and progress on our large multiyear projects and excess cash on our balance sheet, our adjusted ROIC would increase to 9.3% and ROIC to 7.5%. As a reminder from last quarter, we decreased both our weighted average cost of capital and adjusted weighted average cost of capital from 77.7% respectively, to 66.7% respectively reflecting the recent upgrade in our credit rating change in capital structure of the combined company and lower interest rate environment. Importantly, we're not lowering our long-term investment return expectations. Moving to slide 11. For the year, we produced discretionary cash flow approximately $1.25 billion similar to the prior year and cash flow yield or yield or cash return on equity of 9.4% compared to our cost of equity of 7.2%. Please turn to Slide 12 and our 2026 outlook. Taking into account the current margin and macro environment of forward curves, we forecast full-year 2026 adjusted EPS in the range of $7.5 to $8. As Greg mentioned in his remarks, the environment remains complex. With limited forward visibility, particularly related to U.S. Biofuel policy. As a result, we believe the curves do not properly reflect what opportunities should develop during the year once the policy is finalized. Additionally, we expect the following for 2026. Adjusted annual effective tax rate in the range of 23% to 27%, net interest expense in the range of $575 million to $620 million, capital expenditures in the range of $1.5 billion to $1.7 billion, depreciation and amortization of approximately $975 million. With that, I'll turn things back over to Greg for some closing comments.
Gregory A. Heckman: Thanks, John. Before we go to Q&A, I wanted to just offer a few thoughts. Through our disciplined execution, portfolio optimization, and strategic investment, we've reshaped this company into a more agile, diversified, resilient Bunge. We've overcome multiple obstacles including geopolitical shifts that continue to reshape global trade flows. Yet through all of that, the team has executed, adapted, and delivered. Those experiences have only strengthened our confidence and our ability to succeed going forward. With the addition of Viterra, we now have greater reach across origins and destinations, deeper insight into global flows, more capability and optionality to serve customers, and manage risk. We're still on a transformation journey, and continuous improvement is part of who we are. At the same time, our Bunge team is operating from a position of greater strength than at any point in our history. We've never been in a better position. We've never been more needed and we've never been more prepared. Thanks to our people and the global infrastructure we operate. And we look forward to sharing more on the opportunities ahead of us at our Investor Day on March 10. In the meantime, I'll close by saying as we look ahead, I'm confident that capabilities that we've built will allow us to deliver value in any environment. While continuing to connect farmers to the markets to sustain communities and feed the world. With that, we'll turn to Q&A.
Operator: Thank you. We will now begin the question and answer session. And you would like to withdraw your question, at this time, we will pause momentarily to assemble our roster. The first question comes from Tom Palmer with JPMorgan. Please go ahead.
Tom Palmer: Thank you and good morning, Greg and John. I know your guidance does not take a view on how industry conditions might change, but I had a couple of questions here. One, I wonder to what extent you think the RVO might be reflected in the curve today? And then when we see board crush margins moving higher over the past month or so, has this had much impact on the margins that you are able to capture in your crush operations up to this point? Thanks.
Gregory A. Heckman: Sure. I'll start on that, John. So yes, you're correct. Our outlook, we did not put any assumptions about what the RVO would do to the curves over the profitability. Beyond what the curves are already showing. Now as you called out, we've definitely seen The U.S. Curves, in the second half, right, improve a little bit. And we think those probably driven by RVO tailwind expectations. Now that being said, there's not much business done beyond Q1 right now. That we're still pretty open on the balance of the year. And then the other feature, I think you've got pretty high oil stocks in The U.S. Until we see that demand come on. Is a little different than the rest of the world where the oil S and Ds are pretty balanced. That could get cleaned up pretty quickly. Should we get the RVO enacted. But the actual details are important and the timing is important. So, you know, we all wait, but to stay consistent, we just gave the forecast on what we can see today and what the curves are today. Yes. And maybe just to add, Tom, that on top oil has certainly been up and down. Based on market expectations. But we're seeing good steady demand soybean meal. And I think that's a global phenomenon. But in The U.S. as well, soybean meal demand has been strong. So that's at least helping from a crush perspective.
Tom Palmer: Understood. Thank you. I had a question just on cadence for the year. I think as historically earnings have been a bit more weighted to the second half of the year than the first half. But the composition of the business is obviously changed quite a bit here. So any thoughts on both kind of the earnings cadence as we think about this year and to what extent that might be reflective of what normal seasonality might look like in the business as we look forward? Thank you.
Gregory A. Heckman: Yes, Tom, I think how we're looking at this year and I don't know that this is necessarily going to be indicative of the future, but just given where the forward curve sits today, we're looking at first half, second half weighted more like a 30-70 this year, which is a little lighter first half than maybe what we typically see. And then even on the Q1, Q2, we're looking at a 35-65 type split. So absent the impact of RVO change in Q1 we're going to be through the end of Q1 by the time that probably gets resolved. Pretty light Q1. So 35, 65 first half and 30.7 for the full year.
Tom Palmer: Okay. Thank you.
Operator: Our next question comes from Heather Jones with Heather Jones Research. Please go ahead.
Heather Lynn Jones: Good morning. Thanks for the question. I just wanted to just clarify one thing on the guidance. So typically, you guys use the forward curve to set your guidance. And adjust that based on what you're seeing in the physical. Markets is that any different? Did you do anything different this time, like, just did you just take the curves and then make adjustments for what you're seeing as far as basis, etcetera, or just want to clarify that.
Gregory A. Heckman: Yes, Heather. Thanks for the question. Yes, we were a little boring in our consistency. So yes, we use the exact same approach that we've been because we just think that makes it easier to understand how we come at this each quarter. But yes. And I would just say it's right now, obviously, we would expect once the RVO was finalized for the conditions to improve that the question of the dynamics we're waiting to hear are obviously finalization or reallocation, the compliance years are they going to have retroactive 2026 to the first of the year. When it's going to actually get finalized to start taking effect. So there's still some unknowns there until it actually gets codified. So rather than try to guess on all that, we just take the curves away they are and let the market do its work. And in a perfect world, we'd get some clarity ahead of our investor day on March 10, but fingers crossed.
Heather Lynn Jones: Well, as Gary said, my fingers crossed too. Then a big picture question. So since 2022-2023, trade lanes have shifted, you don't have the disruption you had then, you've had quite a bit of crush capacity added in North America and South America. But you have more constructive biofuel policy in Indonesia, Brazil, Europe, and if this is anything if The U.S. has anything likes been telegraphed, it's gonna be much more constructive in The U.S. So putting all that together, increased capacity but much greater demand. Do you envision a scenario where crush margins, both soft and soy, could replicate what we saw on the 2022-2023 time frame? I know those are a lot of what ifs, but just would love to get your thoughts on a scenario like that.
Gregory A. Heckman: Yes. No, you've called out a lot of the key things that we're seeing. There's no doubt as John said, the takeaway on meal globally has been better than everyone expected. Part of that, I think, to be the growth we're seeing in protein demand, especially in chicken and the growth there. On the biofuel policy, no, you're exactly right. There are things happening kind of everywhere, whether it's the B-fifteen in Brazil and eventually going to B-sixteen later this year we think. Indonesia does policy. They've shown the ability to continue to make changes there to adapt what we're seeing in Germany on the RED III and then of course our own biofuel policy here. But I think what you're seeing is that governments understand the biofuel policy it's good for the farming community. It's good for all those communities that value that starts at the farm gate then moves through the value chain. So, think we expect biofuel policy to continue to be constructive as far as comparing back to certain years I don't know that I can make that exact call today, but I think we feel it's definitely constructive. What we do like and you ask about soft, is we have a much more balanced footprint globally, not only in soy but in soft and we've added a larger percentage of soft crush now. And of course, that is definitely favorable with the oil demand and that will favor us soft crush going forward. So we think our more balanced footprint there will be helpful for sure. Yes. I might just add on, Heather. The other thing is we haven't really seen any global meaningful global disruption. Whether it's weather or geopolitical here for a bit. I mean, there's been obviously the trade trade issues with China, but when you really think about a big shock to the the global system, there really hasn't been one for a while. And a weather event could really have a big impact and given our global footprint going forward. I think we we feel like we're positioned is good or better than anyone to handle that.
Heather Lynn Jones: Okay. Thank you.
Operator: The next question comes from Andrew Strelzik with BMO. Please go ahead.
Andrew Strelzik: Good morning. Thanks for taking the question. I had a couple of things. The first one, just from an operational perspective, I was hoping that you could maybe compare the Viterra operations kind of at the time of the acquisition to when you guys took over the Bunge business. And I and I guess where I'm coming from is I'm just curious if you see similar opportunities to kind of transform the earnings power of the Viterra piece separate of the synergies through internal operations as has been the case of Bunge, or if there are any meaningful differences that you've observed.
Gregory A. Heckman: I'd say the answer is yes. It was one of the things I think both companies were excited about coming together and doing the deal where that best and better practice is. And as we're able to share that, it starts everywhere from the safety of our people as we brought the safety programs together and relaunched combined safety program on best and better practices. And definitely, there is a bit of a replay of what we did in 2019 when we joined Bunge. We're now looking at the combined portfolio and making sure that we're running the right assets and the right businesses where we have a right to win for the long term. All the capital allocation is done from the center. And that's healthy for the teams to compete for that capital. Aligning the rewards programs and staying focused externally on our customers at both ends of the value chain and being able to do that from global diversified balance that we now have across crops across geographies and across origination has as well as crushing distribution. We've got more capillarity and granularity at origination and destination than we've ever had. And ultimately, you wrap all that in a risk culture. And I do think Bunge when we joined had incredible capabilities as does Viterra. And it's been great. Our teams did a ton of work pre-close, and we hit the ground running on day one with one view of our global positions for the people to make decisions with. The teams have embraced the culture. They understand how the risk needs of commercial teams work together in order to help manage their earnings at risk. And run our assets at high capacity utilizations. Help our customers manage their risk. I'll tell you, in this environment, that is really needed now and that has real value. And that's the one that continues to pay benefits over and over. Look, we're getting started. We've got a lot to do, but we really like the way the teams are engaging and we're together here early on. And you're right. We've done a lot of this before, so it's just about doing the work.
Andrew Strelzik: Okay. Great. That was super helpful. And I apologize if I missed this, but can you share what you're assuming in '26 in the guidance for synergies on the cost and commercial side and maybe how we should think about that phasing in within that the kind of split you gave for EPS through the year? Thank you.
John W. Neppl: Yes, Andrew, this is John. So I would say on the cost side, which is what we've got baked into our forecast primarily, we're feeling very good about where we are. We're estimating about $190 million of realized synergies in 2026, which is actually ahead of schedule. When we look at what we laid out at the time we filed our proxy, laid out our expectation growth synergies, we expected a second-year full year about $175 million roughly. We're actually going to do better than that in six months earlier. So we've taken a lot we took some action ahead of close and actually started getting the organization structured and ready for the close of the transaction. So we had a bit of a head start coming into the close. And, you know, in 2025 and prior, we realized a little over $70 million of synergy already by the end of 2025. And so we're looking at $190 million for next year, for 2026 year we're in now. With a run rate by the end of the year somewhere around $220 million run rate by the end of the year. So feel very good about that. Of course, $190 million is baked into our forecast. On the commercial side, I think that's still developing. You know, we've got line of sight to a lot of good things. But like anything, those ones are you know, a little more difficult to quantify individually. But I would say a relatively modest amount of synergy baked into the forecast on the commercial side.
Andrew Strelzik: Great. Thank you very much.
Operator: Our next question is from Salvator Tiano with Bank of America. Please go ahead.
Salvator Tiano: Yes, thank you very much. So I want to start a little bit with the question. If I heard correctly, you said this year we expect to realize $190 million or $1.90. So I guess this, by our estimates, is around 70 or 75¢ in EPS year on year growth. So how is the guidance, I guess, on the low end and frankly even adjusting for the dividend even on the high end. Lower year over year It seems a little bit counterintuitive since even without the RVOs, the operating environment seems to have been a little bit better. For commodities trading, for biofuels, So does this imply essentially a material decline year on year before the synergies and why would that be the case?
John W. Neppl: Yes, had a little bit trouble hearing you, but I would look at it this way. We're going to have with the full year of Viterra obviously we have a full year impact of share outstanding shares. We have full year of interest cost full year of depreciation, some of those impacts obviously. And I would say parts of the business that are yet to be performing as well as I think they could. Around grains and merchandising business, I think going forward, we still have work to do there. But, you know, overall, I think know, again, we're using the four curves as they stand today. And I think that, you know, getting some clarity there and some upside, you know, will be some opportunity. But at this point, it's that's how we're seeing it. And of that 190, synergy, if you look versus 25, there's 120 incremental. We did about 70 in '25. So for your modeling, it's one twenty incremental. In '26.
Salvator Tiano: Okay. Perfect. So that's extremely helpful. And the other thing I want to ask is a little bit about the cadence you provided earlier. It seems to us that this implying kind of $0.80 in Q1, 1 in Q2 and then around 2.7 in the second half. So my two questions are firstly, $0.80 in Q1 that will be probably, you know, the lowest EPS figure in a long time and theoretically, again, the idea is that the markets are a little bit better than they were at the trough of last year, getting paid much lower. So are there any specific items or segments that maybe affected by timing, something that is pushing earnings away from Q1? The second part of the question is, if we're not really assuming a major improvement in the forward curves, in the guidance. How are we getting to around $2.7 EPS in the second half in each of the quarters? And if the IPOs come, are we talking about $3.5 or even $4 at some point in quarterly EPS?
John W. Neppl: Yes, I think if you look, you're really on, obviously, the first the first the first half kind of the breakdown there in terms of quarter. And then the second half, think we're looking at about a forty-sixty on the second half at this point, but it's still way early. So a little difficult to predict that. But I think, look, a lot can happen. A lot of Q1s baked already were a month more than a month into Q1. I think that we're off to an okay start, but again, when biofuel policy gets resolved, Q1 is going have largely been completed. And so we're hopeful that it's going to provide us some upside here as we look through the balance of the year. But yes, Q1 is a really light quarter. We're a much bigger company. And but a lot of uncertainty what we found, what we've seen really 2025 and especially into 2026 is, very spot customers on both ends. Farmers are spot, our customers are very spot and it just creates less opportunity for us. And if you look and I might say, you look kind of coming out of Q4, you've got on soy, you've got average margins are down in Q1 versus Q4. In soft, you've got crush margins down kind of seasonally versus Q4. And then you say, kind of how do you come out of Q4? One, you got thank the team for really executing very well in a quarter where you had really no market catalyst heavy stocks, you've got uncertainty around the bio and trade. Policy. So I think what we saw there is the team executed very well even though with ample supplies farmers don't want to sell at the lower prices and you're feeding food customers and fuel customers haven't needed to buy because they've been rewarded for waiting. So that environment is definitely carrying over into Q1. Now that being said, as in I think there's opportunities there that the team will execute well against it. The other kind of feature is the Australian harvest was delayed somewhat by weather That's now definitely an important feature of us. And that's sliding some of that from Q4 into Q1, but it also has brought margins down a little bit the way that that harvest is developing and the demand is developing. So those are kind of some of the features.
Salvator Tiano: Thank you very much.
Operator: Our next question is from Ben Theurer with Barclays. Please go ahead.
Benjamin M. Theurer: Hi, good morning, Greg, John. Thanks for taking my question. One on grain handling, actually, just to help us understand because grain merchandising, used to be not as relevant, but now with Viterra, it starts to become a little more of a heavyweight as well. So how should we think about the current conditions, right? 2025 was a lot of uncertainty with trade that the conflict between US, China, etcetera. So as you look through the opportunities in the business, in the combined business, and we talk about the merchandising, maybe ocean freight, etcetera, how should we think about the 2026 setup here? And what's, like, kind of, like, a level of disruption or activity that you need in this business to really make the most out of the no larger footprint that you're having?
Gregory A. Heckman: Yeah. You know, I start by reminding us, right, we've got six months under our belt running it together. So this we're looking forward to the first half as this is a very seasonal business. We'll get to see Q1 and Q2 with the combined platform and then we'll start lapping the time that we ran together in the second half of last year. So look, the teams are continuing to adjust and do the scenario analysis for a number of things that can happen. But there is that important baseload business, serving customers every day, We've got the geographical balance. We should have the absolute best cost position to be there with the right product, the right quantity, the right quality, at the right price. So we'll do that baseload business and then adjust to whatever disruptions. And we've already seen some of that where we've had to repair origins and destinations and where we've actually had to develop some new destinations because some of the trade disruptions. So I think that becomes standard part of the business. And as you called out as well, ocean freight, we've combined that group. We're a very large user of course of the ocean freight. We're starting to see the benefits of that larger platform and some of that lowering the cost between origin destination and being able to react faster to change. So I think part of it's just getting the reps getting to fewer systems and processes and having the teams you know, continue to make those improvements. So whatever the environment, we know it will improve eventually, but know, until it does, I know our team will get all of the benefit that we can out of it. And Ben, maybe I'd just add. I mean, for Q4, we only had a thirty million dollars increase year over year in the segment. And I think as you look into 2026, you should see a better year over year improvement especially in the first half, obviously, when we don't have the comps are against the prior Bunge only, even in the second half, we expect the comps to be better versus the combined company second half. So, it's moving in the right direction. It's just that's the biggest part of Viterra's business. And while we were really, really pleased with how well the crush was folded in, very quickly because we had a much larger crush footprint. So that folded in very nicely to network quickly. You have a lot more people, a lot more assets, a lot more locations involved on the merchandising and handling side and it's more work.
Benjamin M. Theurer: But
John W. Neppl: to Greg's point, we're doing the right things. We got the teams focused. It's going to take a little bit longer to get that humming.
Benjamin M. Theurer: Okay. And then my second question real quick is CapEx, obviously, last year was give or take $1.7 billion of which a little more than $1.2 billion was for growth. The guidance you issued for this year is more or less the same level. If we take the midpoint here, just a little bit lower. I suspect sustaining CapEx goes a little bit up, but it's probably still going to be roughly a billion in growth investments. So how should we think about the return on investments here that $1 billion plus last year, probably another $1 billion this year, what's like the return you're expecting from that and especially the timing of those returns?
John W. Neppl: Yes. Let me start with maybe talk about the mega projects. So our spend on mega projects, so the four large capital projects that we've the multiyear projects, that spend is going to drop about $350 million in 2026 as we finish kind of get to the completion dates on the projects. So that leaves that's about $600 to $650 million on the mega projects. That will be largely wrapped up by the end of the year. We really don't we have not modeled in really much if any contribution from those projects. So the Moorestown plant is in commissioning now and will be running this year. Obviously, a lot of the time this year is going to be spent on qualifying the plant for our food customers. We will get some volume through there, probably not high enough capacity utilization to have meaningful contribution in 2026. So we've not really added much in the forecast for that. And then our Destrehan barge unloading and crush plant expansion. Remember the crush plant in the joint venture with Chevron. And then the barge unloading, those will be up mid-year and of course, we're not we don't have a lot baked into the forecast a contribution in '26 for those either. I think they'll really be, you know, hit they'll really be contributing a lot more as we get into 2027. And then our the final project is the West Sun plant in Netherlands that will be up and running in for the most part early 2027. So not a lot of contribution from those in 2026, but we should see a bump up in '27 relative to that spend. We've got also we've earmarked a few 100 million for other growth projects in '26 to round out the billion-dollar rough number. Those haven't all been approved, and we'll review those as we go and may or may not decide to do those. But we've we've got that included in the forecast. That's why we have a range of one one point five to 1.7 If we did all of that, we'd be closer to 1.7. If we choose not to do some of those projects, we'll be closer to 1.5. And those, you know, obviously, anything we're constructing during '26 likely wouldn't have a meaningful impact on 2026 returns.
Benjamin M. Theurer: Got it. Thank you very much.
Operator: Thank you. The next question comes from Stephen Haynes with Morgan Stanley. Please go ahead.
Steven Kyle Haynes: Hey, good morning. Thanks for taking my question. Lots been covered. Maybe just another way on the guidance. I think in the past, you've you've provided some directional I guess, guide by segment. I realize it's maybe a bit harder just given, you know, the first half of last year doesn't have, Viterra in it and and this year has a full contribution. But is there a way that maybe you could frame by segment know, working back from the midpoint of your guide, like, whatever adjusted EBIT is kind of assumed at that level. You know, how you see that splitting out between each of your businesses this year? Thank you.
John W. Neppl: Yeah. So if you look Steven, this is John. If you look at kind of our core segment, eBay, so that's defined as a segment results before corporate. I'd I'd look at it this way about half that that EBIT is gonna be in our soy processing and refining. How we're looking at it for the year. So we call that 50%. About a quarter of it in our soft processing and refining segment. And then grain merchandising and milling, we're forecasting to be around 20% of it. And then the remainder of the remaining 5% would be in our other process of refining. That's kind of how we see the rough forecast for the year. And then of course offsetting that to some degree will be the corporate. The corporate and other we would expect to be, call it 120,000,000 $125,000,000 per quarter negative against against that.
Steven Kyle Haynes: Okay. Thank you. Appreciate all the help detail.
Operator: Thank you. The next question is from Derrick Whitfield with Texas Capital. Please go ahead.
Derrick Whitfield: Good morning, all and thanks for taking my questions.
John W. Neppl: Good morning.
Derrick Whitfield: With regard to the RVO, the administration has been quite supportive of The US and farmers nearly at every turn. We have heard in recent weeks a range of 5.2 to 5,600,000,000 gallons per BPD volumes. I guess where is your view on where the administration will land on absolute volumes? And the half range generation concept for imported products and feedstocks?
John W. Neppl: Derek, this is John. I think on the 5.2 to 5.6, I don't know that we see where it's going to end up. Obviously, we prefer the 5.6 obviously, but, we're hopeful they'll at least start at the midpoint. Of the range and maybe go up from there. Especially given that it appears and pretty likely that the half rent, the 50% rent is not gonna take effect in 2026. You know, They're going to kick that can down the road to 2027 and make a decision then. So hopefully, given that decision, they'll move to the high side of this range of 5.2 to 5.6. But we don't obviously, don't know yet yet and hoping hoping here over the next few weeks to get some clarity.
Derrick Whitfield: Hey, Dale. Let's hope your crystal ball is right on the five six side. But maybe on a on a similar topic. So I read in a recent trade article that Bunge was recognized as the first company to certify soybeans for use in the production of SAF under the CORSIA plus protocol. To the degree that you can, could you speak to that market opportunity for Bunge from this development? Given the favorable price realization for SAF over RD and the tightness we're seeing in qualified feedstocks for SAF.
John W. Neppl: Yeah. Look, I think we don't have anything baked into our forecast for that. So anything that develops during the year is going to be upside for us. I think it's still fairly nascent market, at least from the way we've participated up to this point. But certainly, it's going to be you know, incremental demand. It could be massive incremental demand it really gets rolling. But we work a lot with the in fuel. We've got relationships with all the large fuel producers. And those are produced jet fuel. So, we're optimistic that is that as that gain some traction, we'll be right there to participate. But would tell you in our 2026 numbers, we don't have anything meaningful baked in for that. So looking forward to seeing how it develops. So we are, you know, we are focused on and for the long term. And one of the things that you know, we've got with the partnership with Chevron and the partnership with Repsol and some of the other fuel customers, right? It's not only serving them, with the current origination that we have, but now having the touch we do globally with more farmers than anyone else as we're working to develop some of these new novel seeds and cover crops, we'll have the ability to meet what their needs are for the long term, it's SAF or or renewable diesel or traditional bio biodiesel. So really excited about the combined capabilities of the company and and definitely want to be the partner of choice for the fuel industry.
Derrick Whitfield: Great. Thank you.
Operator: Thank you. The next question comes from Matthew Blair with TPH. Please go ahead.
Matthew Blair: Great. Thanks for taking my question. So for the $750 to $8 guide, you mentioned you're just taking the current futures curve. As as we think about the spread there, the low end versus the high end, what what determines that? Is that just based on Bunge's execution? You know, what what puts you at the low end of that guide and what puts you at the high end? Thank you.
Gregory A. Heckman: Yes. I'll start, John.
John W. Neppl: Sure.
Gregory A. Heckman: I think how we see the market continue to develop from a demand standpoint. We talked about the soy stocks are definitely heavy, but we have seen that's only in The U.S. Merchant milling we'll see how as we have that first half of the year running the combined footprint. And as the crops come off here in Australia, as some of the trade disruption that we've had. We really expect it to be not as complicated as last year. That should be good for our merchandising segment. From a from an overall the other is just we continue to work not only on the cost synergies, as John said, kind of trying to deliver more and faster. And then the commercial synergies, as we're on the front end as the teams work together. As those plans continue to develop, those could continue to benefit us in the second half. So I think the combined we've just got more levers to pull on both the cost as well as the margin side than we've ever had.
John W. Neppl: I would just add, Matthew, that when you look at our soy and soft we can use the forward curves for a majority of that business. And so, we feel like whether we agree with the curves or not, that's what we use. And that's got a fairly decent level of specificity to it. But when you get to the merchandising and milling side, there are no four curves. And so what the environment is going to be like, I think if we if we continue on with a global heavy stock spot customers, not a lot of opportunity in that market. It's going to be a little bit tougher. But again, volatility disruption, global demand shifts trade policy changes, all those things create opportunity on the merchandising side that it's really hard to model in. So we will obviously be able to be in a good position as Greg pointed take advantage of those things. Probably two other things worth mentioning right? We saw last year China drawing a lot of beans out of Brazil, particularly in South America overall that was created headwinds for crush there. And then, of course, as The US China issue got solved, then taking beans out of The US in the fall, which created some headwinds for crush margins there. We'd expect to see a more normal flow in the coming year. And then on the soft side, of course, we've had two years in a row of tough sunseed production in the Black Sea Europe area and that's been hard on margins. While we've got some more balance in Argentina on the sun crush side and we had good crops there, in the second half. I think if we can get a good sun crop that should be improvements in Black Sea in Europe for sun crushing. So those are some of the flags, I guess, of the bigger issues that we're watching develop.
Matthew Blair: Sounds good. And for the follow-up, so renewable diesel margins in The U.S. Are already moving up quite a bit in the first quarter. Are there any signs in your system yet on a larger pole for soybean oil from from the renewable diesel space? You know, any signs that The U. Renewable diesel utilization is stepping up as these margins improve?
John W. Neppl: We're seeing some modest pull, honestly, I mean, continue to build in oil. And I think until we get I think until we get clarity and the producers have certainty, we're still going to see stocks build. If we look at the model and we look at the demand, it could turn very quickly. And we could go from a surplus oil environment today where we're building stocks to to a very tight market very quickly. And our expectation would be if we get to the 5.2 or 5.6 depending on even under either of those scenarios, there's going to be substantial pull on soybean oil, canola oil, is favored feedstocks along with the domestic low CI and we'll see things tighten up fairly quickly. Obviously, everybody's kinda kinda waiting to see what's gonna happen. Yeah. There's starting to be some instances anticipation of that, but not anywhere near what we what we will expect once things are finalized.
Matthew Blair: Great. Thanks for your comments.
Operator: Thank you. The next question is from Manav Gupta with UBS. Please go ahead.
Manav Gupta: Hi. So my first question is the buyback was pretty strong in 3Q and sorry, 3Q and it dropped off a cliff in 4Q. Like you went from $5.45 to 6,000,000. I'm just trying to understand why such a steep drop and how should we look at buybacks going ahead?
John W. Neppl: Yeah. We we just you know, we we stepped in the market to get a majority of it done. We just we didn't complete it all at the end of Q3 and going into Q4. But we're absolutely committed to wrapping that up the remaining program. And we'll get that done, I think fairly soon. Relative to ongoing, I think as we look forward, we definitely see an opportunity to make share buyback a bigger part of our capital allocation process, and we're gonna discuss that more on Investor Day certainly as we find more of a forward outlook. But this this machine should generate a lot of cash going forward. And our view is that return to shareholders is going to be a more critical part of our ongoing capital as we move forward. We'll highlight more details on that in March.
Manav Gupta: My second question is when you look at the street for 1Q, it's like 176. Your guidance is implying 80. Like, where do you think the street is getting it so wrong versus what you are guiding? Like, why are why is the street almost double where you are? Terms of your guidance?
Gregory A. Heckman: Yeah. I I think it's difficult to say maybe at this point other than maybe understanding the velocity of what we're seeing. That maybe the RVO impact would start getting traction in Q1. And that obviously has been delayed And we're fairly locked for Q1. So even if we get as things improve, we have some open capacity to capture some of that. But by the time the RVO gets finalized and enacted, we're going to be through the quarter. And maybe there's just some a bit of disconnect in terms of the timing of that. I'd say also, you know what, I hope you I hope you heard is we kinda talk through that while this is fairly back half loaded, as we talk about the range It feels like there are a lot more things that could kind of turn to the favorable versus be challenging as we think about how markets develop policy develops, more normalized trade flows, versus what we saw in 2025 and where we've got a big global machine to run with a lot of long lead times, all those things are favorable. I think we had to look at the things that could kind of tip to negative or positive. I think we feel things are maybe more bent to the positive when you roll them all up. So I hope that was clear.
Manav Gupta: Thank you.
Operator: Thank you. The next question is from Puran Sharma with Stephens Inc. Please go ahead.
Pohren Sharma: Good morning and thanks for the question. Just wanted to start off and get a little bit more granularity into the commercial synergy opportunity. I think you mentioned a few details on the call, but was just wondering you know, what what are the opportunities that that you've kind of uncovered and and and what are some of the things that that you're working on Any anything kinda higher level would be helpful. Thanks.
Gregory A. Heckman: Sure. There's no doubt as a process the vertical nature of this combination with let's say, much stronger origination and Bunge having a bigger processing footprint as a processor, the more you can buy direct from the farm, better that is for controlling everything from your pipelines and capacity utilization and quality and yields and everything. And we've definitely got a lot of focus on increasing the percent we buy direct from farmers and providing the markets for them. And now we've got much more capability to do that. We're seeing that that gain continue to push forward a higher percent bought direct and that will continue then as we talked earlier, when you're optimizing the total footprint, you'll make different decisions than when you were competitors on the timing of understanding the needs of a processing plant and also understanding the needs of our origination and being able to keep the flows moving through the ports and to third party customers. So getting the reps with the team and getting an understanding of our combined capabilities has been great. And then even if you take something like and talk about our soft sea crushing platform, I talked about we're much more balanced not only on our seed origination and global merchandising, where we've seen a number of opportunities with some of the trade disruptions be able to continue to get the farmer seed to market and find the right demand but also on the meal, on the sun meal and the canola and rapeseed meal, where when we look at the combined footprint, we've been able to connect origins and destinations that weren't connected before. And then as some of those trade lanes were shut off and were not economical, we've even developed some new markets that didn't exist before, that weren't using some of these products. And so we've been able to grow those markets. And it's just the combined capabilities as we get the repetitions to continue to peel those opportunities back. And just the way the teams are working together, I just couldn't be more pleased. And I've had the opportunity to do a lot of travel around and visit plants and visit the offices visit ports. It's fantastic. You go into a room and nobody nobody says, I was by terror, was bungie. It's just everybody's bungee. The teams are excited about the capabilities that we've got in global platform and what we can do to serve our customers to work together. And there's no lack of challenges in the world right now, but I don't think anybody is better equipped than Bunge to deal with it.
Pohren Sharma: Thank you.
Operator: We have no further questions, ladies and gentlemen. This concludes our question and answer session. I would like to turn the conference back over to Greg Heckmann for any closing remarks.
Gregory A. Heckman: I'd just like to thank everybody for joining us for today. We appreciate your interest in Bunge. We look forward to speaking to you again very soon hope everybody has a great day. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.